Operator: Good morning and thank you for standing by. (Operator Instructions.) Copies of today’s discussion materials are available on First American’s website at www.firstam.com/investor. Please note that the call is being recorded and will be available for replay from the company’s investor website and for a short time by dialing 203-369-0604. I will now turn the call over to Mr. Craig Barberio, Director of Investor Relations, to make an introductory statement.
Craig Barberio: Good morning everyone and thank you for joining us for our Q4 2010 Earnings Conference Call. Joining us on today’s call will be our Chief Executive Officer – Dennis Gilmore, Max Valdes – Executive Vice President and Chief Financial Officer, and Mark Seaton – Senior Vice President of Finance. At this time we would like to remind listeners that management’s commentary and responses to your questions may contain forward looking statements such as those described on pages four and five of today’s news release and other statements that do not relate strictly to historical or current fact. The forward looking statements speak only as of the date they are made and the company does not undertake responsibility to update forward looking statements to reflect circumstances for events that occur after the date the forward looking statements are made. Risks and uncertainties exist that may cause results to differ materially from those set forth in the forward-looking statements. Factors that could cause the anticipated results to differ from those described in the forward-looking statements are also described on pages four and five of the news release. With that, I will now turn the call over to Dennis Gilmore.
Dennis Gilmore: Thank you, Craig. 2010 was a difficult and volatile year for the mortgage and real estate markets. Operating within this environment the company delivered strong results. Full year revenues were $3.9 billion with net income of $128 million or $1.20 per share. Earnings were higher in both our title and specialty insurance segments as we continue to execute on our strategy of driving efficiencies throughout the organization. The title segment achieved a full year pre-tax margin of 6.3%, title’s best year since 2006. Throughout 2010 we continue to focus on our ongoing expense management initiatives. We also experienced a strong rebound in our commercial title business as the size and number of transactions increased in our key markets. And in the second half of the year, low interest rates led to an increased refinance activity. Our specialty insurance segment also had strong full year results, achieving a combined pre-tax margin of 15% due to improved cost and operation management. Turning to Q4, our revenues were $1 billion, down 1% from the prior year. The company generated $47 million of net income, or $.44 per share. The title segments margin was 8.6, the highest since Q4 of 2006, driven by strong commercial activity, a robust refinance market. Although title revenues were down 1%, our expenses were down 4%, resulting in a pre-tax income of $81 million, a 39% increase from the prior year. Revenues for our national commercial division were $98 million, its strongest quarter since 2007, reflecting favorable interest rates, improved access to credit and the successful execution of their marketing strategy. Revenues for our international division were $83 million, up 12% compared to last year and driven by a strong improvement in the Canadian real estate market. Revenues for our default business were $42 million, down 29% compared to last year, primarily due to a decline in foreclosure activity. The specialty insurance segment had another strong quarter, achieving a pre-tax margin of 14.3%. Home warranty continues to deliver consistent results favorable of operational and cost management efforts. The property casualty business performed well although claims from the severe hailstorm in Arizona put pressure on our margins. During Q4 we also completed two acquisitions, Nazca Solutions, the company that leverages web based technology to extract and combine property information from multiple data sources. This acquisition augments our efforts to expand our title (inaudible) coverage and will help us to serve a broader set of title information customers. The second acquisition was Nationwide Posting and Publication, a leading regional company in the posting and publishing of trustee sale notices. This acquisition filled a product gap in our default business. The outlook for 2011 is for lower mortgage originations and overall cost structure is in a good position for the year ahead and we will continue to drive operation efficiencies throughout the company. Specific to the current market conditions, we continued reducing expenses as older accounts declined in Q4. Expense management efforts have accelerated in the current quarter as we keep a close watch on our accounts. In February our open orders are running slightly below January and March will be the pivotal month for accessing the strength of the purchase market. Looking to 2011 we will continue to maintain a conservative balance sheet while pursuing organic growth and strategic investment opportunities in our core business. I’d now like to turn the call over to Max Valdes who will provide more detail and review our financial results.
Max Valdes: Thank you, Dennis. The company generated total revenues of $1 billion for Q4, down 1% from the same quarter of the prior year. Income before income taxes was $74.6 million, up 22% from Q4 of 2009. Net income was $47.1 million, or $.44 per share compared with $50.1 million or $.48 per share in the same quarter of the prior year. Net income and earnings per share for Q4 of last year benefited from a low effective income tax rate. The lower rate reflected the release of certain tax liabilities associated with uncertain tax positions. The results for the current quarter included $2.8 million in net realized investment losses, or $.02 per share compared with net realized investment losses of $8.3 million or $.05 per share for Q4 of ‘09. In the title insurance and services segment, total revenues for Q4 were $950 million, down 1% compared with the same quarter of the prior year. Title premiums and escrow fees were $789 million for the quarter, down 2% compared with the same quarter of last year. Direct premiums and escrow fees were up 10% driven by higher average revenues per order closed and a 2% increase in closed orders. Average revenues per order closed increased 8% to $1,382 compared to the same quarter of last year. This increase primarily reflected the strength of our higher premium commercial title business, offset in part by the increase in lower premium refinance transactions during the current quarter. Agent premiums were down 11% in the quarter primarily due to the normal reporting lag of approximately one quarter. As a result lower agent remittances this quarter reflected weaker Q3 mortgage origination activity in 2010 relative to 2009. Information and other revenues totaled $146 million for Q4, up 3% compared to the same quarter of last year. This line item includes title plan information, search products, appraisal and other related revenues. The increase in Q4 was driven by increased demand for title plan information and other non-insurance products in the commercial and international divisions offset by reduced activity in the company’s default business. Investment income totaled $18 million, down 37% compared with the same quarter of last year. Last year’s number benefited from the sale of a membership interest in title plan. Lower interest rates also reduced the income earned on the investment portfolio in the current quarter. Total expenses in the title, insurance and services segment were down 4% in Q4 compared with the same quarter of last year. While we continue or focus on managing expenses in line with revenue fluctuations, personnel cost and operating expenses of $487 million for the quarter, were up $14.7 million or 3% compared with the same quarter of last year. This increase reflected higher employee benefit costs due primarily to changes in pension plan assumptions resulting in a decrease in the expected return on plan assets and a discount rate. In addition, the improved financial performance of the company led to higher 401k company match for the year. We also incurred higher production and other costs reflecting the higher revenues in our commercial and international divisions during Q4. These items offset the impact of the 6% decline in direct open orders, quarter over quarter. Agent retention was 80.2% of agent premiums, compared with 81.3% in Q4 of ‘09. The improvement in agent retention reflects both a favorable shift in the geographic mix of agent premiums and a progress we make on improving our agent splits across a number of markets. Our provision for title losses was $43 million for Q4 or 5.4% of premium and escrow revenue compared with 5.9% in the same quarter of ‘09. The loss provision rate in the current quarter reflects an expected ultimate loss rate of 4.9% for the 2010 policy year and a net increase in the loss reserve estimate for prior policy years, primarily 2007. The 2005 and 2006 policy years also had limited adverse development offset by favorable developments in policy years 2008, 2009 and 2010. We continue our policy of booking to our (inaudible) point estimate. The company’s title insurance segment generated a pre-tax margin of 8.6% for Q4 compared to 6.1% for the same quarter of the prior year. The current quarter included net realized investment losses that reduced the pre-tax margin by 20 basis points while Q4 of 2009 included net realized investment losses that reduced our pre-tax margin by 90 basis points. Moving on to our specialty insurance segment, total revenues were $72.1 million, essentially flat compared with the same quarter of the prior year. Overall expense control remains strong with total expenses, excluding the loss provision, down 5% compared to Q4 of ‘09. The specialty insurance segment pretax margin was 14.3% for the current quarter, down from 17.5% for the same quarter of the prior year. The current quarter results included less than $100,000 of net realized investment gains compared with $1.7 million of gains for the same quarter of last year, which improved last year’s pretax margin by 200 basis points. The property and casualty business results were negatively impacted by loss ratio 66% as a result of claims related to a severe hailstorm event in Arizona. The impact of this event was mitigated by a reinsurance program which provides coverage for losses above a $5 million deductible for any one event. Results in the home warranty business were strong with both revenues and margins higher in the quarter compared with a prior year. To wrap up, corporate expenses were $17.1 million for Q4 which brings a full year to $60.1 million, which is in line with our standalone company expectation we gave just prior to the June 1 spin off transaction. With that I will turn the call over to Mark.
Mark Seaton: Thank you, Max. I will provide a few comments on our capital and liquidity. Cash flow from operations in Q4 was $130 million driven by higher earnings and favorable movement in working capital accounts. Capital expenditure during the quarter was $41 million, which is higher than the $16 million we’ve averaged during the first three quarters of the year. Capital expenditures were impacted by two one-time events this quarter. First we spent $14 million to buy copies of certain Land America title plans from Fidelity. Second, we bought out certain operating leases for office furniture and equipment of which approximately $11 million was capitalized. Prior to the June 1 spin-off our former parent, the First American Corporation, had an operating lease arrangement for certain furniture and equipment, bid buyout effectively unwound that arrangement. Excluding these two items, capital expenditure were $16 million, which is in line with our recent run rate. In terms of liquidity, we had $50 million of cash at our holding company at the end of the year. In addition to this cash we have $5.2 million of our 12.9 million shares of Core Logic at our holding company. Based on yesterday’s closing price, our stake in core logic was docketed $259 million, $104 million of which is held at the holding company. We also have $200 million available from our $400 million line of credit. So liquidity remains very strong. Our cash and investment portfolio totaled $3.4 billion as of December 31st. The portfolio is comprised of debt securities of $2.1 billion, cash and short-term deposits of $789 million, equity securities of $282 million which is primarily related to our ownership interest in Core Logic, and $197 million in less liquid long term investments. Overall we have a high quality portfolio with 73% of our debt securities rated AAA and only 2% rated below investment grade. Debt on our balance sheet totaled $294 million as of December 31st. Our debt consists of $200 million funded on our credit facility, $48 million of trustee notes and $46 million in notes primarily related to acquisitions. Our debt to capital ratio as of December 31st was 12.8%. In terms of our capital structure, we intend to remain conservative in 2011 and we’ve positioned the company for a challenging origination environment. I would now like to turn the call back over to the operator to take your questions.
Operator: Thank you. At this time we’re ready to begin the question and answer session. (Operator Instructions.) Our first question comes from Nat Otis. Your line is open.
Nat Otis – Keefe, Bruyette & Woods: Good morning. Just a quick follow up on your talk about the February order counts and maybe just a little bit of color on January. Is there any way to assess how much those orders were impacted by kind of whether there seemed to be a lot of tough weather around the country, anyway to assess any type of impact you had there?
Dennis Gilmore: Sure, let me give you a bit of an overview on the question Nat. First, in Q1 we’re opening on average, 4600 orders per day right now. That’s turning very close to our ending rate for Q4 of 2009. Our refinances are running right around 52% of our total residential book or 35% of our total book. We look back to Q4 (inaudible) accounts are down about 18% and the mix, refinances are down about 40 but purchases are up about 15% which is a key indicator for us. We clearly think that the colder weather in January and February impacted our lower accounts. But as I said in my script, the key month for us will be March and April to give us a better sense of the spring buying season. Also, we’re looking for a closing ration in Q1 of approximately 80%. Some lower drift down in our average revenue per order probably in the 5% range.
Nat Otis – Keefe, Bruyette & Woods: That’s very helpful. Just one last little bit of commentary on orders. Q1 would probably be maybe the weaker commercial quarter of the year, any commentary on how commercial has transitioned from Q4 to the Q1?
Dennis Gilmore: You’re correct. We do think that Q1 will be a weaker commercial market but we are confident that the commercial business will remain strong throughout 2011. It was increasing, that we saw increase in the business all through 2010. We do think that trend will continue in 2011.
Nat Otis – Keefe, Bruyette & Woods: All right great. And then just lastly and I’ll jump back in the queue. When do you think you might stop seeing very small- it was certainly a pretty immeasurable chew up for some of the prior books for this quarter of ‘07 but when do you think you might stop seeing those chew ups on a loss standpoint going forward? I mean obviously things are improving, or they seem to be. And you talked about positive shifts in ‘08, ‘09 and 2010. Any thoughts on when you might just be getting to a run rate loss ratio and not necessarily having to chew up any of those older books?
Max Valdes: Nat, this is Max and obviously that’s really hard question to answer in absolute terms. But we feel good about the last two or three years now and I think those older years to your point, I think they are sort of settling down and I would expect a loss rate to be staying around at 4.9 to low 5s for the next couple of years. But again, it’s hard to say that’s what I think but we monitor the experience every week and if it comes in worse than we expect, we have to adjust. But I think the worse is behind us.
Nat Otis – Keefe, Bruyette & Woods: All right, very helpful, thank you.
Operator: (Operator Instructions.) Our next question does come from Brett Huff. Your line is open.
Brett Huff – Stephens Inc.: Good morning. I want to make sure that I heard the number that you just talked about based on Nat’s prior question. You said that purchase for February or for quarter to date was up 15%?
Dennis Gilmore: Quarter to date. For quarter to date we’re up 15%.
Brett Huff – Stephens Inc.: Okay, and then the mix on the total book for refi was about 1/3, 35%?
Dennis Gilmore: On the total book our refinance mix is running at 35%. As a percentage of our residential book, running at approximately 50%.
Brett Huff – Stephens Inc.: Okay, and then the 5% drift down in average in keeper file, is that sequentially or year-over-year?
Dennis Gilmore: Sequentially.
Brett Huff – Stephens Inc.: Okay, thanks. In terms of commercial, congrats on a great commercial quarter. Was there a particularly large deal that skewed what looks to be like a very high fee per file just based on what we were looking for or is that just a general lots of big buildings are changing hands or can you give us any color on kind of the spread of those?
Dennis Gilmore: The answer is we didn’t have one large deal that moved the number but we had a number of larger deals in Q4. And we’re just becoming more optimistic on the overall commercial book as we went through 2010 going into 2011.
Brett Huff – Stephens Inc.: Do you continue to see the same size properties changing hands, the same kind of fee per file as you had in Q1 and is there any reason you think that trend stops?
Dennis Gilmore: I don’t think the trend stops but I do think that Q1 will typically be a little lighter quarter for commercial. We typically have a lot of pressure to close transactions at the end of the year.
Brett Huff – Stephens Inc.: Okay, but through the year there’s no, aside from the seasonality of Q1, the size of transactions unless the revenue per transaction for you guys, you don’t see a reason that will change?
Dennis Gilmore: Again, at this point we don’t see any reason why the commercial momentum will change. Time will tell on that but we’re optimistic that will be one of our stronger segments going into 2011.
Brett Huff – Stephens Inc.: Great. And then could you also tell us a little bit about, you mentioned Canada helping international. Can you just give us more color on that? It seems like that was a business that really suffered during the downturn and is now a bright spot. What are your expectations for that as we look into the rest of ‘11 in terms of growth?
Dennis Gilmore: Overall we are looking for a large contribution from our international group over the next number of years. But specifically we’ve seen stability and some strength in the Canadian market and what we’re looking for in 2011 is stability and some build in our UK operations. Those were the most impacted from the crisis from a few years ago. So strength from Canada right now, stability and ultimately growth out of the UK in the years ahead.
Brett Huff – Stephens Inc.: Okay, and then lastly, just on the info services business, can you just give us a sense of how did that perform for the quarter and then just a little color on what you guys are assuming as you look out in ‘11?
Dennis Gilmore: Again, I’m looking for growth out of this group as we move forward. It’s where we keep a lot of our different businesses, it’s where our title information businesses are, some of our default businesses and some of our other miscellaneous smaller businesses. We will look for continued growth out of our, let’s call it the title plan and information business segments. What impacted us in Q4 and other quarters was a reduction in some of our default services. I think that they’ll continue to be trending down as we’ve seen the default cycle lengthen. As we go forward, I’m going to look for continued growth, again, out of our title plan businesses in that group.
Brett Huff – Stephens Inc.: So overall would that be flattish as those two kind of, are those two together kind of a push?
Dennis Gilmore: Probably overall up actually.
Brett Huff – Stephens Inc.: Okay, that’s what I needed. Thanks for your help.
Operator: (Operator Instructions.) Our next question comes from Nat Otis. Your line is open.
Nat Otis – Keefe, Bruyette & Woods: Just quickly following up. Could you just remind us where you are on your pricing increases and or your efforts to change the agent splits? Are you kind of complete at all of your pricing increases and where are you in trying to move the split?
Dennis Gilmore: Sure, two questions there. We have done the bulk of the price increase across the organization through the last 18 months. That effort will be ongoing but in a much smaller level than it was historically. But just as a normal course of business, we make sure our prices are adequate across our states and make sure that our returns is appropriate. On the agent split, again, ongoing effort; we made significant progress in certain key states over the last six to eight months. That effort, again, will be ongoing. And what we’d look for is our return on not only a state basis but on an agency basis. And we’ll look to adjust splits, deductibles, etcetera where we think it’s appropriate and where the returns need to change.
Nat Otis – Keefe, Bruyette & Woods: All right, very helpful. And then just last question. I hate to ask you but any comments, there’s a New York Post article out there this morning just on the head of your commercial operations in New York. It seems to be more of a personal issue as opposed to underwriting or anything like that but is there any commentary you can have on that?
Dennis Gilmore: I really can’t. I can’t comment on personnel matters. It has nothing to do with underwriting of that nature. It was a personnel decision we made and we’ll move forward. We’re very committed to the New York market and we look to grow that market over the next few years aggressively.
Nat Otis – Keefe, Bruyette & Woods: Great. I just needed to hear that it was nothing to do with underwriting. Thank you.
Operator: Our next question does come from Jason Deleeuw. Your line is open.
Jason Deleeuw – Piper Jaffray: Hey guys, good morning. I was a little surprised that you’re expecting the revenue per order to be down 5% sequentially just with the purchase becoming a much larger percentage of the mix. Is that just because the commercial is expected to be less in Q1? Is that what’s driving that primarily?
Dennis Gilmore: Really two issues. Yes, it’s commercial down somewhat and the orders that I referenced up are purchased but they’re just openings, we won’t close those orders for 60 to 90 days.
Jason Deleeuw – Piper Jaffray: Okay. And then the volumes are softer here but you guys have improved operational efficiency. What are you guys expecting for title margins for next year? Is it possible that you guys can expand title margins even in 2011 even if the volumes are down meaningfully?
Dennis Gilmore: When I look back, 2010 was a good year. I’m satisfied; I think we had strong performance in our business, our core businesses and a pretty volatile market. When I look forward to 2011 I think it’s going to still be very volatile and I’d look for an opportunity for us to at least maintain our margins in 2011. Now that will be a very difficult objective to achieve but that’s what we’re striving for in the company right now. Now it’s going to come down to a few things; that we based our forecast on the MBA forecast of a 1 trillion market and sitting here today we think that’s an accurate forecast. Inside that forecast they are forecasting a 60% to 65% reduction in refinances but the key to the forecast is a 30% increase in purchase. Now if that comes to be reality for us, optimistic on the year, and I mentioned it earlier in my script, we need to look for March and April and see spring’s buying season kick off. Early indications are that our purchase business is up, but again, time will tell on that. Regardless of what the market throws at us though, I want to make sure everybody’s clear on a couple points. One, we’re going to continue to drive efficiencies across this organization as aggressively as we can, like we have for the last couple years. And then the last corporate focus that we’ve changed or reenergized is our growth focus. We’ve run very aggressively over the last couple of years and been very focused on our expense initiatives. We’re going to continue those activities but we think there are opportunities to grow and we’ve identified key strategic markets and segments that we think are underrepresented for and we’ll look to grow those segments over the next two years. So it’ll be a tough year ahead but we’re optimistic we’ll perform well.
Jason Deleeuw – Piper Jaffray: Okay. That’s helpful. And you also, in addition to the organic opportunities and growth opportunities that you guys are going to be targeting, you also mentioned some strategic investment opportunities. Are you specifically- are there possible acquisitions you’re looking at and arguably you’re under levered right now. You could probably take the debt up potentially, would you be willing to do that if you saw some strategic acquisition opportunities that were accretive and enticing?
Dennis Gilmore: We would. And let me give a little insight on our acquisition viewpoint right now. Post separation we’ve laid out an acquisition road map over the next two to three years, so short term. We’ve really identified three key areas we’re focused on. First, any type of opportunistic acquisition in the core title space that would be priced right, the returns would be adequate and we could get the necessary synergies, we’ll be very interested in that. Second, post separation we created a few product gaps in our offering and we’re focused on the default space right now and our settlement service space.
Jason Deleeuw – Piper Jaffray: Okay. Are there- can you give us a sense for the opportunities out there in the core business for potential acquisitions? Has the environment improved recently or is it something that you expect to improve as the volumes soften?
Dennis Gilmore: I’m not sure I can predict it. We are continuing to maintain, as you referenced, a very conservative capital base. I think if the year turns out to be more difficult than we may anticipate then potentially will be more acquisition opportunities. And we’re just going to be opportunistic as they play out.
Jason Deleeuw – Piper Jaffray: Okay thanks. And then my last question is on the provision. The book of business that you guys are putting out right now is very healthy, low provisioning needs for that. And it looks like- you’ve got to be getting very close to cleaning up the stuff from the ‘05 through ‘07 and ‘08 book. What can we expect going forward for a provision rate?
Max Valdes: This is Max again. At this point I’d say it would be very close to what we’re putting up for policy year 2010. So I would be expecting a loss provision of right around 5% range.
Jason Deleeuw – Piper Jaffray: Okay, that’s a nice improvement. Thank you.
Operator: Our next question does come from Brett Huff. Your line is open.
Brett Huff – Stephens Inc.: Thanks for taking my follow up. I just wanted to make sure, Dennis, in your opening script you mentioned that you guys had done some trimming on cost in Q4 and then I think you said accelerated a little bit into Q1. I want to make sure I heard that right and if so, it sounds like that was a function of just looking at some of the tougher volumes. Can you just make sure that I got those numbers right and just give us some more color on that?
Dennis Gilmore: Absolutely. Throughout Q4 we actually trended down slight; approximately 50 FTEs even though we were in a rising order environment. In Q1 orders have dropped off and we’ve been more aggressive managing the expense levels. We’re down approximately 200 at this stage in the quarter both temps and full time employees and were just going to continue to mash our expenses to our order levels.
Brett Huff – Stephens Inc.: Okay, that’s what I needed. Thank you.
Operator: At this time we show no further questions. We would like to remind listeners that today’s call will be viable for replay on the company’s website or by dialing 203-369-0604. The company would like to thank you for your participation. This concludes today’s conference and you may disconnect at this time.